Operator: Good morning, ladies and gentlemen, and welcome to Owens & Minor's Fourth Quarter Full Year 2019 Financial Results Conference Call. My name is Daniel and I'll be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today's call Mr. Chuck Graves. Please proceed Mr. Graves.
Chuck Graves: Thank you, operator. Good morning, everyone, and welcome to the Owens & Minor fourth quarter and full year 2019 earnings call. I'm Chuck Graves and on behalf of the team, I'd like to read a Safe Harbor statement before we begin. Our comments on the call today will be focused on financial results for the fourth quarter and full year of 2019 and our outlook for 2020, all of which are included in the press release we issued earlier this morning. I'd also like to call your attention to supplemental slides related to our 2020 outlook posted on our website in the Investor Relations section. Please note that certain statements made on this call are forward-looking statements, which are subject to risks and uncertainties. These forward-looking statements are intended to qualify for the Safe Harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today other than statements of historical facts are forward-looking statements and include statements regarding our anticipated financial and operational performance. Forward-looking statements made on this call represent management's current expectations and are based on information available at the time such statements are made. Forward-looking statements involve numerous known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from any results predicted, assumed or implied by the forward-looking statements. The Company has explained some of these risks and uncertainties in its SEC filings including in the Risk Factors section of its annual report on Form 10-K and quarterly reports on Form 10-Q. Except as required by law or the listing rules of the New York Stock Exchange, the Company expressly disclaims any intent or obligation to update any forward-looking statements. Additionally, in our discussion today we will reference certain non-GAAP financial measures and information about these measures and reconciliations to the most comparable GAAP financial measures are included in our press release and our Annual Report on Form 10-K. The Company will host an Investor Day meeting for professional investors and analysts on Wednesday, May 20th in New York City. A registration link has been provided in the Investor Relations section of the Company's website and we look forward to seeing you in New York. This morning, I'm joined by Ed Pesicka, our President and Chief Executive Officer who will provide commentary on the fourth quarter and full year results and on our 2020 outlook. And Andy Long, our Executive Vice President and Chief Financial Officer, who will discuss our financial results for the quarter and full year and also provide additional insight into the 2020 outlook. Now, I would like to turn the call over to Ed who'll start things off this morning, Ed?
Ed Pesicka: Thank you, Chuck, and good morning everyone, and thank you for joining us on the call today. Today, I'm going to cover three main topics in my prepared remarks. First, the continued improvement in financial and operating performance for the third consecutive quarter in 2019. Second, our focus on disciplined reinvestment in our business in 2020 and building on the strong foundation we established in 2019. We believe the foundation and these investments will enable Owens & Minor to delivered double-digit adjusted EPS growth beyond 2020. And third, the impact of COVID-19 on our American-based manufacturing and global supply chain solutions. Let me start by reminding everyone that when I came on board last March, we committed to focusing on three things. One, changing the culture to have a high level of intensity with a laser focus on the customer; two, restoring our customer service levels to our historical industry leading standards; and three, improving our financial performance and reinvesting into the business. I'm pleased to say that we have honored our commitments on all three of these items. Now, let me share a few details around these items. I will start with our improved financial performance related to income, cash flow, debt pay down and investments. As committed during the third quarter earnings call, I am pleased to say that our trend of sequential income improvement continued in the fourth quarter. Both adjusted operating income and adjusted net income per share improved sequentially in every quarter throughout 2019. Adjusted EPS increased from $0.02 in Q1 to $0.10 in Q2, then it increased to $0.20 in Q3, and finally to $0.24 in Q4. These improvements were driven by operational effectiveness, revenue mix, along with seasonality of certain businesses. But it is also important to note that not only did adjusted operating income and adjusted net income per share improved sequentially, it also improved year-over-year for the fourth quarter. Moving to cash flow, we generated positive operating cash flow in the fourth quarter, a quarter that typically is not a strong cash flow quarter for us due to the investments in year-end inventory buy. However, here is what we accomplished. We generated $27 million of operating cash flow in the fourth quarter. And looking at our cash flow with a broader lens, the combined operating cash flow from the second through fourth quarter was $227 million. So how did we achieve these cash flow results over the past three quarters? It was a result of positive return on investments in technology, training, process and people to drive improvement in our operations, inventory planning and accounts receivable collection, just to name a few. We accomplished this while maintaining and improving service levels and improved our key working capital metrics. The cash flow improvement just described enabled us to pay down debt, deleverage the balance sheet as well as reinvest and position us for long-term profitable growth. Here is what we've accomplished. We reduced our debt over the last nine months and continue to make debt reduction a key priority. In addition, we have been reinvesting in the business in a disciplined manner. Capital investments totaled over $56 million in 2019. Let me provide two great examples of capital investments that will provide long-term profitable growth and increase customer satisfaction. The first is the expansion of our United States manufacturing capabilities to produce nonwoven laminated fabric used in PPE products such as surgical gowns and masks. This investment enables us to significantly control manufacturing and supply chain of critical products needed to protect patients and clinicians. The second is the investment in enhanced B2C capabilities in Byram, our home health care business. This investment has assisted Byram in achieving strong performance in one of the fastest growing segments of healthcare. In addition to capital expenditures, we have made other non-capital investments to improve our internal operations along with investments focused on solutions and services that deliver value and operating efficiencies to our customers. We will provide examples and demonstrations at our May 20th Investor Day. We expect continued investment in 2020 that we believe will provide enhanced long-term sustainable growth. Let me move on to customer service. Our focus on service levels continues. I mentioned last quarter that our service levels are now back to historical high levels, and I'm pleased to say that we finish the year on a strong note with continued improvement. We will remain focused on customer service and we'll continue to drive additional initiatives to further improve and innovate. Finally, I am pleased to say that our intense focus on the customer and cultural change leading with our humble mission to empower our customers to advance health care along with our ideal values are being woven into the fabric of our company. The mission and ideal values provide clear direction on how we operate. Starting with the first value the letter I in the ideal values that being integrity. I see this value demonstrated every day and it has been more evident in how we have worked during the current COVID-19 issue, which I will discuss later. As I reflect on 2019 and close out the year, I'm proud to say that we did what we said we were going to do, when I first came on board in March of 2019. And in fact we are ahead of my initial expectations in many areas. To recap, we have built a rock solid foundation for the business, which we can and will build on in 2020. We did this by successfully changing the culture of the organization to be intensely customer focused with our mission and ideal values as our true north; assembling a world-class leadership team; restoring our service levels to our historical industry-leading standards with a focus on continuous improvement; improving our financial performance driven by operating efficiencies and investments and reinvesting for long-term financial success. Let me now move into 2020. While we're only two months into the year, we have already achieved two major accomplishments. First, in January, we announced our intention to sell Movianto our European logistics business. The sale will allow us to increase our focus and investment in our core U.S. based distribution, products and service businesses, while further deleveraging the balance sheet. Secondly, we strengthened our financial position by improving our debt profile with the recently announced amendment to our credit agreement and the launch of our accounts receivable securitization facility. This will provide us with the ability to reinvest in our business, allowing for long-term success and double-digit adjusted EPS growth beyond 2020 Andy will provide additional details during his prepared comments. As we continue into 2020, we can't take our foot off the gas pedal and we won't. We have great momentum in the business and we have to balance short-term challenges with long-term success. In 2020, we will do several things. First, we will work aggressively to mitigate the impact of customer non-renewals, primarily from the first three quarters of last year. We will do this through productivity improvements, new customer wins and an ongoing mix shift into more profitable higher growth business. Second, we will continue to generate cash flow and pay down debt. Third and finally, we will reinvest in our business for long-term success and future growth. We are not going to starve the business in pursuit of short-term gains and risk the momentum we established. We will invest with confidence because we have a strong leadership team that has proven the ability to drive operating efficiencies, improved customer service and mitigate the loss of customers. Our investments will be made across three primary areas; infrastructure, technology, and services. Unlike the past, these investments are based on many customer interactions with our leadership team. There is not a week that goes by where we do not have multiple meetings or meaningful conversations with our current or potential customers and what we're hearing from our customers is clear. Customers are looking for value. Customers are looking for flexibility and adaptability to customize a mix of service and products rather than being forced into a rigid framework. Customers are looking for risk mitigation and customers are looking for improvements in clinician and patient experience. Our investments are aligned with what our customers want and need. As we look at 2020 holistically and from a financial standpoint, there are a number of puts and takes. As a result of these planned investments, lost income associated with the pending divestiture of Movianto, the impact of recent financing activity and past customer non-renewals partially offset by additional operating efficiencies, portfolio mix shift and expected customer retentions and wins, we expect adjusted EPS to be in the range of $0.50 to $0.60 in 2020. We believe that building on the strong foundation established in 2019 combined with the incremental investments, we are positioning the Company to generate sustainable double-digit earnings growth beyond 2020. Andy will provide additional color on our 2020 outlook. Before I wrap up, let me briefly discuss a couple of industry topics that have been in the headlines recently and I will start with COVID-19. We are closely monitoring the COVID-19 novel coronavirus situation. We recognize Owens & Minor's important position in the global healthcare supply chain and we are committed to doing our part to support health care providers as they care for those affected and seek to stop the spread of the virus. While this is a fluid situation, here are the actions we have taken to date. We are taking care of our existing customers. We have adopted product allocation procedures to ensure to the greatest extent possible that our Halyard brand PPE products are available to our existing customers. Additionally, when possible, we have worked with noncustomer providers who have been unable to obtain sufficient PPE products from their existing distributors or manufacturers. We have swiftly ramped up our production of our PPE products to meet the increased demand. While this ramp takes time and requires initial investments, we believe that we are well positioned to fill a portion of the demand that has resulted from supply chain disruptions. It is important to note that a significant portion of our production capacity for these products is located in the Americas, which positions our supply chain favorably compared to others that source these products from Asia. Our Americas-based supply chain should allow for more reliable and quicker time to market. And finally, we are taking care of our teammates. We have a global workforce and have taken steps to ensure the safety and health of our teammates and the integrity of our facilities and supply chain. As evident from our actions, we take very seriously the reliance that our customers place on us and their responsibility to take care of their patients in this critical time. We are in constant and close communication with our customers, our suppliers, industry associations and government agencies to assess changing needs and to lend our support. We have and will continue to do our best to serve our customers with the highest level of integrity and not exploit the COVID-19 situation. As 2020 progresses, we will update you on the impact of COVID-19 to our Company and financial results. And finally, we would like to welcome two new members to our Board of Directors. Mike Riordan, the former Co-CEO & Director of Prisma Health was elected to our Board in December of 2019 and Gwen Bingham will join the Board of Directors effective tomorrow. Gwen is a retired three-star Lieutenant General in the U.S. Army with a strong background in supply chain and strategic leadership. I look forward to working with Mike and Gwen and know they will make great additions to our Board. Thank you for your time today and I'll turn the call over to Andy for a discussion of our financial results and outlook for 2020. Andy?
Andy Long: Thank you, Ed, and good morning, everyone. Today, I'll begin with a review of our fourth quarter and full-year financial results, comment on recent improvements to our debt structure, and then discuss our outlook for 2020. For purposes of today's discussion, please keep in mind that results from our Movianto business unit are now treated as discontinued operations. As we mentioned previously, we expect this transaction to close in the first half of this year. My comments today, unless otherwise indicated, will be on a continuing operations basis. For the fourth quarter, net revenue was $2.2 billion compared to $2.4 billion for the prior year. The change was primarily driven by lower net revenue in our Medical Distribution business, partially offset by increases in Global Products and certain Global Solutions business lines. The change in Medical Distribution net revenue was primarily due to the previously discussed impact of customer non-renewals, primarily from the first three quarters of last year. The resulting reduction in revenue will affect year-over-year comparable results for the majority of 2020 and is incorporated into our outlook that I will discuss later in my presentation. Net revenue for the full year 2019 was $9.2 billion compared to $9.4 billion in 2018. Gross margin of 13% in Q4 improved 125 basis points over prior year, primarily due to margin expansion in Global Products and each of our business lines within the Global Solutions segment, coupled with favorable product mix. Distribution, selling and administrative expense of $254 million in the current quarter was $9 million lower than in Q4 of 2018 as a result of the efficiencies, net of investments, to help drive future growth. On a total Company basis, adjusted net income for the quarter was $14.7 million or $0.24 per share. 2019 full year adjusted net income was $34 million or $0.56 per share. On a constant currency basis, adjusted net income per share was $0.26 for the fourth quarter and $0.60 for the full year. Now let's review the segment results for the full year. Global Solutions revenue was $8.24 billion compared to $8.77 billion in the prior year. As I've mentioned, the customer non-renewals in our Medical Distribution business, partially offset by continued strong revenue growth in our home health care, drove the change. Global Solutions' operating income for the year was $84 million compared to $109 million last year. The driver of the change in operating income was primarily a result of lower revenue, as I have just described. Turning to the Global Products segment, net revenue was $1.43 billion compared to $1.1 billion last year and operating income was $65 million compared to $76 million last year. Net revenue includes an unfavorable foreign exchange impact of approximately $6 million. Year-over-year revenue performance in this segment was favorably impacted by the annualization of our Halyard acquisition, which closed on April 30th of 2018. Operating income was negatively affected by product mix, incremental cost to support the acquired business, and foreign currency, partially offset by favorable commodity price trends. Now I'd like to discuss our cash flow, the balance sheet and recent improvements made to our debt profile. For the year, we generated $166 million of operating cash flow, driven primarily by working capital improvements and increased operating income. Over the last three quarters, we generated $227 million in operating cash flow. Typically, the fourth quarter isn't as strong from a cash flow perspective as we build inventory for the flu season and in preparation for manufacturer year-end holiday shutdowns to help ensure continuity of supply for our customers. Despite this, we were able to generate operating cash flow of $27 million in the quarter. Total debt was $1.56 billion at December 31st, a reduction of $41 million compared sequentially to the third quarter and a reduction of $171 million over the last nine months of 2019. Now, let me review several changes we've made to strengthen the financial foundation of the Company. Recently, we've taken three decisive steps to better position us for the future. First, as previously discussed, we made the strategic decision to divest our Movianto business for $133 million. The proceeds from this transaction will be used to pay down debt. Second, we amended our credit agreement to provide additional flexibility, which among other things, includes our ability to enter into an accounts receivable securitization program. Finally, we executed this AR securitization program providing us with access of up to $325 million of cash, which we can use to further refinance debt. These actions allow us to strengthen our balance sheet by ensuring that we have ample liquidity while providing lower cost liquidity. This stronger financial footing will enable us to continue to invest in the business, which in turn should result in an even healthier balance sheet going forward. I fully expect in 2020 we will, again, generate good cash flow, which will enable us to fund the necessary investments in the business to build on the foundation established in 2019, while further reducing debt. Next, I'd like to spend a few minutes discussing our earnings outlook for 2020 of which a summary can be found in our modeling guidance schedules, which are posted on our website. It's important to clarify that for 2020, our guidance represents our expected financial performance on a continuing operations basis, which excludes our Movianto business for all four quarters of 2020. As you've heard from Ed, our adjusted EPS for 2020 is expected to be in a range of $0.50 to $0.60. Let me briefly discuss some of the factors that were considered in developing our guidance range. Starting with the top line, our outlook for revenue is in the $8.3 billion to $8.5 billion range. The main driver of this is the impact of previously discussed Medical Distribution customer non-renewals. As we've mentioned, year-over-year comparables for the first three quarters of 2020 are going to reflect the impact of business lost earlier in 2019. Partially offsetting this headwind, is our expectation of growth in our home health care and service businesses. While we have been and expect to continue to invest in growth, these investments take time to realize the benefits, primarily due to the long lead times in winning and implementing new business. We expect to realize the top line benefit of these investments in 2021 and beyond. In terms of gross margin, we expect continued expansion from 12.25% in 2019 to the 13% to 13.3% range in 2020 as a result of ongoing favorable mix towards higher margin business lines and the impact of favorable commodity pricing in our products business. While not specifically calling out a range for Distribution Selling and administrative expenses, you can expect to see a year-over-year reduction as we realize the benefits of our actions to improve the efficiency of how we service our customers to meet their needs, partially offset by our continued investments in the future of our business in areas such as infrastructure, technology and services. Our 2020 forecast also factors in the expected impact resulting from the changes in our debt profile that I discussed earlier, including interest costs associated with our amended credit agreement as well as the more favorable rates provided for in our new accounts receivable securitization facility. During 2020, we expect to further reduce our debt levels in the range of $175 million to $185 million through cash flow generated by the business coupled with the proceeds received from the pending Movianto for sale. As a result, we expect interest expense between $93 million to $96 million for the year. We believe the foundation we have built in 2019 and planned strategic investments this year will enable Owens & Minor to deliver double-digit adjusted EPS growth beyond 2020. I do want to emphasize that our projection for 2020 does not take into account the potential impact from the COVID-19 situation, given the number of variables and amount of uncertainty surrounding this event. As this plays out on the world stage over the coming weeks, we expect to have a better estimate of the impact this will have on our 2020 performance during our Q1 earnings call. I'd also like to make a few comments about the expected calendarization of earnings as we move through 2020. We expect our earnings in 2020 to be similar to the pattern we saw in 2019, based on the impact of seasonality and the fact that past customer non-renewals will be reflected in our results, particularly in the first three quarters. Simply stated, we expect our earnings to continue to be skewed to the second half of the year as we experienced in 2019. We also expect to begin to show year-over-year EPS growth on a continuing operations basis beginning in Q3 of 2020. Finally, since this is my first opportunity to speak with you since joining the company, I wanted to leave you with my initial impressions. I am very bullish on Owens & Minor. The team here is as strong as any you will find and the core fundamentals of the business are rock solid. Of course there is a lot of work to do, and the team has made great strides in 2019 in laying the foundation for profitable growth and strong cash flow for years to come, I am proud and delighted to be here. Thank you. And with that, I'll turn the call back over to the operator to begin the Q&A session. Operator?
Operator: [Operator Instructions] Your first question comes from Eric Coldwell with Baird. Your line is now open.
Eric Coldwell: Hi, can you hear me?
Ed Pesicka: Yes, we can.
Eric Coldwell: Good morning. So, I have quite a few questions actually. I might have to jump back in. First off can you - I know you're not explicitly building COVID-19 into guidance at this point. But could you give us your best guess based on what you see now as to whether the positives and negatives, do they skew more negative in terms of supply chain disruption and investments you're having to make early or more positive in terms of potentially some ability to service customers that others can't service increased demand in the marketplace? So I'm just - what's your best guess at this point, when you - when you have to give us that future update?
Ed Pesicka: Sure, I'll start. This is Ed, and I'll start and if Andy wants to add comment after, he can. So I think the way we think about it is, there are several puts and takes we have to consider. Let me just go through those with you, so you can understand how we are thinking about this. So, the first is, what I call point of sale product teams. So we have our distribution channel, the Owens & Minor Medical Distribution business that is - that is distributing or selling products manufactured by other people and we're seeing - already starting to see material outages of product because those products are manufactured in Asia, China specifically, whereas in that PPE products, so again masks and gowns, we have the ability, at that point of sale, because the customer needed to swap it over to a product that we manufacture in the Americas. That really doesn't have a net revenue impact, but it does have a manufacturing margin impact, because now we're able to sell a product where we have the manufacturing capabilities and others don't. We are seeing incremental product sales too in the fact that throughout - not through our distribution channel where customers and potential customers need products because of the stock-outs from others where we can actually provide products that we manufacture. That actually has an incremental benefit to us from both a revenue and a margin standpoint. The one thing that we look at though, on the other side of it is, we don't know how long this situation is going to last. So that's a factor that we really can't consider within here. And then the other in the put and take you got to think about is besides our traditional PPE products, there is other products that we don't manufacture that are being manufactured by others and even to a smaller extent some of our non-personal protection product that are manufactured in China and the longer this goes on, that could have a negative headwind on revenue, because nobody could fill those products. On the investment standpoint, I will share with you, we have ramped up extensively, we have hired between 300 and 450 additional people in our facilities focused around ramping up facial protection both N95 and traditional ear loop and surgical mask as well as gowns and drapes. So we have ramped that up. We have increased production in our current capacity through our equipment. We've had idle equipment that we've now ramped up too. That has a high front-end investment cost. And again, the longer this continues, the more upside there will be for us. So we believe that there potentially is upside depending on the length of this, but those are a lot of the factors that we're considering. Let me turn it over to Andy if you want to add any additional color on that.
Andy Long: No, Ed. I think that summarizes things very well.
Eric Coldwell: Great. I'm going to take it and go with another one here. Somewhat related, so obviously your - one of your bigger suppliers, but also biggest competitor in the public market has had some well documented issues with quality prior to coronavirus, but also out of China around their gowns. I'm curious what impacts you've seen in the market from that and has it created any opportunities for you to get back in good graces with - potentially with customers of that - that other manufacturer?
Ed Pesicka: Yes. So I think what's important on that is to understand our strategy around gowns, this issue with gowns and even with facial protection and other products related to the COVID-19. You know one of - here is what we've done, we've taken an approach that we have - we're here within our mission to enhance, empower our customers through advanced health care. So, we are going to, first and foremost, take care of those customers who we have a commitment to from - it's really an integrity standpoint. So, what we've done is we basically defined it and said, hey, if you're an existing customer that is buying product from us, you're going to get your allocation which is basically your weekly amount based on the annual basis, and you're going to get some in addition to that. Where we can fill the gap, we're actively doing that both on existing customers first. So again, those that have committed, we're making sure, we honor our commitment to fulfill all of those needs. And then, where we can help other customers, we are doing that and we're doing that aggressively. And yes, we've had some positive feedback on the way we've handled it from a high level of integrity, specifically around gowns. What we've done is, again, since we produce - I think people need to understand this, we produce the material; the non-woven fabric is produced in the U.S. So we have ramp that up substantially. We then finish those products both in Mexico and Honduras which means our lead time is days and weeks to get those products into the market versus months for those who are producing them in China. So we have ramped up our production on gowns by over 50% and it's going to continue to ramp higher on that. That has provided us with flexibility to fill a portion of the void created by the gown issue as well as fill a portion of the void by others. That's why when I talked about the puts and takes, some of that is just the pure point of sale product change where we were able to replace another brand with our brand, and then some of that is actually coming from where we don't have that revenue where we're picking up additional share related to that.
Eric Coldwell: That's great. I'm going to ask one more and then come back in later. On the customer losses in distribution, I think we all - we all knew they were out there. It's not a new theme. It's stuff that probably is, to be fair you probably inherited some of the issues, Ed, when you join the firm and we're living with the consequences later. But it's a big number, and I'm just trying to get a sense on how many customers did you lose, maybe it's one or two or three of the bigger customers that we should focus on. What's the net impact of wins and losses, if you can give us that? And then, to the extent that the bears were right that the Street's models for revenue were too high because of these losses, perhaps on the other side margin probably looks a little better than most people were thinking, which is a nice offset. And I guess my question there is, is the margin better because the large losses were extremely low margin accounts and/or is it because of Byram and other benefits like commodity costs and overall mix? I'm just trying to get a sense of how impactful these revenue losses really are for you and how hard it is to overcome that revenue shortfall from a profit standpoint?
Ed Pesicka: Yes, so a lot of questions within that question, so let me try to piecemeal it out a little bit here. Let me first talk about revenue loss. And you're right, we had substantial revenue loss really in the first quarter, second quarter and even bleeding into the third quarter of 2019. And from all the time I spent with customers, the bulk of that was related to our poor service and fixing that has changed it substantially. So if I look at 2019, first three quarters are pretty tough. We lost some major customers. We had non-renewals of those - of that customer - of some of that customer base. If I look at the fourth quarter and into the first quarter so far, that has moved binary. We have had - we had a very strong fourth quarter and even into this year of significant customer renewals. We continue to have a very robust pipeline going into 2020 and beyond, probably more robust than we have, have had in the past and really that comes down to a couple of different things. One is, drastic improvement in the service in our Medical Distribution business. I think now with some of the market crisis, the customers are now recognizing that what we provide is flexibility and adaptability as this market changes quickly. What we provide is a very different supply chain and manufacturing solution that has ability to mitigate significant risk. All of those things that improve service, the ramp up of our production, our manufacturing footprint, all have started to change that momentum, I would say for us. But yes, you're right. The first three quarters of last year were tough, and as I talked on multiple calls, there is a lag. When you lose a customer, they announced that they're leaving, it could take up to nine months for that customer to fully transition out and then you have the 12-month impact after that. So that's the picture I want to paint around our Medical Distribution and the value we bring. As I talked our Byram home healthcare business continues to be strong. And then I'll let Andy go in little detail but I talked a lot about this year about driving operating efficiencies in that business. So when you look at our business, the margin expansion relates not just to mix within the businesses. So each business has a different product mix as well as customer mix. Also that operating efficiency has driven operating improvements in the business, both at margin and in the SG&A. And then lastly, I'll close on this, is one of the things we're doing and I talked a lot about in the prepared remarks is, we're reinvesting in this business. We are going to reinvest to drive continued operating efficiencies and I can go through some of those. In addition to that infrastructure, that provide long-term sustainable growth. And frankly, we are focused on serving the customers and we've instituted a new go-to market model, which is gaining significant traction already. So that's more of the description of what's happened with revenue, where revenue is going. That's more a description of why we see the margin improvement both from gross margin as SG&A, and what are the driving factors? Really, it's around operating efficiency. It's around investing in those areas that have higher growth rates and that's really been the focus of it. So with that, I'll turn it over to Andy and he can maybe provide a little more detail that supports that.
Andy Long: Yes. Eric, this is Andy. Just a quick comment to another - just in reaction to the absolute value or level of our guidance in terms of revenue. Keep in mind that this is the first quarter where we're reporting our Movianto business as discontinued operations. And when we issue our 10-K later today, you'll be able to see the impact that that has. But understand that that's probably $400 million to $450 million of revenue that has come out of our full year performance on an annual basis, so just noting that. And then two, I'll add that you know put things in perspective in terms of how we're reacting as an organization to become more efficient, more lean and react to that volume change. As you look at 2018 to 2019 top line performance once you annualize or normalized for our global - the Halyard acquisition that took place in 2018, you'll see a revenue drop of about $600 million and you'll see that the resulting earnings per share change and that was about a $0.60 decline, in the ballpark of $0.60. And you can see that with a similar change in revenue next year, you can see with the efficiencies we've driven in the operation, the improvements in gross margin that you've noticed - that you've noted, we're looking at a far less, more like a single digit change in earnings per share. So I think that really demonstrates the efficiencies we've laid into the business and it positions us well for growth going forward.
Eric Coldwell: Okay. Guys, I might have a few more at the end, I'll let others jump in. Thanks so much.
Ed Pesicka: Thanks, Eric.
Operator: Thank you. Our next question comes from Michael Cherny with Bank of America. Your line is now open.
Michael Cherny: Good morning, and thanks for all the details so far. I might be getting a bit ahead of myself related to the Analyst Day and some of the commentary. But since you, Ed and Andy. Since you did introduce the expectation for a return to double-digit growth in 2021 and beyond, I guess what do you need to see over the course of this year in terms of checking the box internally on execution in terms of the market dynamics? Obviously, coronavirus will be a bit of an outlier on that perspective, but from what you can control, and then the other base levels of the market, what are the checkpoints you need to see or what are the checkpoints we should be looking for to give confidence in that return towards the double-digit growth that you talked about?
Ed Pesicka: Yes. So I'll start at the top line, what the expectation is in our various businesses, whether it's our home health care business, our products business, our service business and our Medical Distribution business is that retention rate continuing to maintain where it's at right now, and then beginning to start to see wins both in all three aspects or four aspects of our business. Home healthcare, our Medical Distribution as well as servicing our products. I'll take the opportunity now to talk a little bit about one of the infrastructure investments we made, that is as we've looked at driving optimizing our business, one area we've actually invested in and that is in our commercial organization. We've launched a new go-to-market strategy and this was through spending a significant amount of time with our customers. And one of the things that became loud and clear from our customer base is "Hey Owens & Minor is a complex company, we're struggling, how do we work with all the different parts of the business, whether it's home health care, whether it's our product manufacturing business, whether it's the classic acute care Medical Distribution or whether it's all the different services that you provide QSight, PANDAC." So, we put together an enterprise solution where now, for our customer base, they have one person that can navigate through the whole company. We have one person that can sit down with that customer every day, understand their needs and their wants, as well as their goals and objectives. That combined with the strong foundation we built around great service again, around the ability to provide flexibility and adaptability. And during the - one of the two recent crisis both around product availability specifically, we were able to leverage some of our services that being our SurgiTrack and put together custom kits in several days to make sure that existing customers, did not have surgeries that couldn't be performed because of outages of certain PPE products. So that's what internally we're looking at, is to drive that double-digit growth. The second thing is investments in technology, like myOM and QSight. QSight's been around, but we're enhancing myOM's branding technologies. We'll talk about it and we'll demo it actually at the Investor Day. That's another way to help drive operating efficiencies for our customers. And lastly, is our internal metrics that we're managing both on service and initiatives to drive operating profitability and improved operating profitability within the business. Those are things you should look at during the year and that we're continuing to look at during the year to keep driving that.
Michael Cherny: Understood. And then, maybe as you think and maybe I missed this in the comments, I apologize. On - did you mention anything on the updating in the performance of Fusion5 and how that factors into all the dynamics on that return to growth going forward?
Ed Pesicka: Yes. We talk specifically on Fusion5 in the prepared remarks. I think the way we're looking at Fusion5 or I think the way we are looking at Fusion5 in 2020 is more of a net neutral type impact on the business. As we continue - it's pretty - that's also a pretty fluid space right now on Fusion5. But what we did with Fusion5 was we took a hard look at our overall cost structure within Fusion5. We took a hard look at what contracts we were willing to accept and what risk level - what risk level we were willing to accept as well as the shared benefit and/or risk on those contracts. So we position that business that we're comfortable that in 2020, it should be a net neutral impact on our business.
Michael Cherny: Okay, thanks so much.
Operator: Our next question comes from Robert Jones with Goldman Sachs. Your line is now open.
Robert Jones: Great, thanks for the questions. I guess just to go back to the operating income and I know there's a lots to parse out here, just given some of the things that are going on in the market, some of the initiatives you guys obviously have embarked on internally. But if I think about the trend that you mentioned around sequential improvement in operating income and then we look at the guidance for 2020, how should we think about the operating income performance in '20 - relative to the 2020 guidance? If I adjust for things like Movianto on a year-over-year basis, is this a trend that you think can continue throughout 2020 or will some of the additional investments that you outlined put pressure on that trajectory of operating income growth?
Andy Long: Yes. No, I think the way I would characterize - this is Andy, yes. So I'll take that one. So the way to characterize it would be that as we move from Q4 into Q1, we see a natural step down in the business as a result of just historical seasonality, Q1 tends to be a reset in the business in terms of volume, particularly accentuated in our home health care business. And then, as we described in the prepared remarks, the impact of the lost business will also really manifest in Q1, and we'll see that in Q1 and that will be prevalent for about the first three quarters of the year. And then, as we move throughout the year - and I'm sorry, continued impact in Q1 would be the ongoing investments that we're making in the business. But as we move through the year, the impact of the lapping of the lost business will correct itself as we get to the end of the year and normalize. And then the investments begin to pay off and then, again, looking for return to some growth on the top line. I think those will all continue to show the pattern in earnings that we had in 2019. We'll also kind of describe the shape of that curve for 2020.
Robert Jones: Okay, that's helpful. And then, I know you didn't give specifics on this and maybe it will come at the Analyst Day. But Andy, anything on free cash flow? You know you highlighted that it was - it's been pretty solid of late. How are you thinking about free cash flow in 2020 relative to what we saw in 2019?
Andy Long: Yes, I believe that we'll still be able to continue to drive cash flow improvements from operating activities. The team has done a tremendous job with working capital in 2019. I believe that those benefits are sustainable and long-term in nature. In other words, not only do I think we'll not give those gains back, but I think we'll be able to build on those. Some of the investments that we've made will actually pay dividends in terms of our accounts receivable collections and making that more efficient. So, we expect to see cash flow from that. And as I mentioned, overall net cash flow would be deployed both investing into the business and ongoing into our commitment to improving the balance sheet to paying down debt and that could be anywhere in the range from about $175 million to $185 million, of which you can expect $133 million of that come from proceeds of our Movianto divestiture.
Robert Jones: Got it, that's super helpful. And then I guess if I could just ask one more kind of high level qualitative one, just given that it's such a focus in the market and given your vantage point into hospital volumes. As you think about or talked to folks in the organization about you know really bad flu seasons of the past, would you say that you've noticed overall volumes in times of heightened influenza as incremental volumes within the hospital setting. Do you see more demand or in those periods, do you suspect that maybe folks actually avoid the hospital in a bigger way, maybe postponing things like elective procedures and the like during those periods of kind of heightened influenza?
Ed Pesicka: You know, here is what we've seen. And this is - these are some of the variables, I mean the first question was asked by Eric, it was really, if you think about flu season, COVID-19 and the other issues we have right now in the market. These are variables that are tough because here's what we're seeing. We're seeing a substantial increase in demand for flu-related products. We believe that's partially because flu season seems to be a little more severe this year where we see that partially because we have other suppliers and manufacturers that are stocking out because their products are made in Asia or China and they can't get them. But then the other wildcard which we see is, we don't know what is true demand and what is stockpiling? When you see a product from a certain customer go from a normal run rate of 1 to a normal run rate of 4 times, that's when we have to put in our protocols to make sure we don't have the complete allocation to somebody and then stock out for others. So that's why we're focused on taking care of our existing customers, shutting down other channels that aren't our traditional channels and then continuing to balance out that allocation to all of our existing customers and then helping others with the excess where we can. So, we have not seen a slowdown outside of that. We see our traditional business, whether it's elective surgery, non-elective surgery, normal visits, we have not seen that slowdown, but what we have seen is the spike associated with those products that are - that are manufactured for PPE purposes, again face protections, gowns and drapes, traditional staff apparel. The other anomaly we have seen, but in a very, very small sample I guess would be demands and spikes for products that are produced in China that have nothing to do with PPE. So customers looking at it and saying "Okay, here's products that are produced in China, let me go and increase my order in case that gets shut down too." So it's again - what's nice is, we have strong protocols to protect the inventory to make sure that we can continue to provide it to our existing customers. So I guess, the long answer to your question, it's really what we've seen is kind of that base business continue, but we have seen a spike in demand of PPE related products, which we believe is partially because of flu, partially because a significant stock out by other manufacturers and competitors. And then - and then some level of stockpiling. And then we're seeing small data points that say "Hey, people know these products are manufactured in China, let me see if I can get them in advance, just in case this extends for a period of time."
Robert Jones: That's really helpful. Thank you for all that.
Operator: Thank you. [Operator Instructions] Our next question comes from Kevin Caliendo with UBS. Your line is now open.
Kevin Caliendo: Hi, great. Thanks for taking my call everybody. I want to talk a little bit about the AR securitization. Can you talk a little bit about the terms of that sort of what your cost of doing that is and how you expect to deploy that? How quickly you expect to deploy that capital? Are there any restrictions around it? Can you just talk a little bit more in detail around that facility?
Ed Pesicka: Sure, Kevin. And obviously, everyone's aware that just most recently, we were able to put that together and that was part of our whole debt realignment. With that, I'll let Andy go through specifically the details around it's and talk through that.
Andy Long: Sure. So our amended credit agreement provided us the allowance to raise AR securitization program of up to $350 million of which we chose to enter into an agreement to secure $325 million of - to securitize our AR, and really the - I guess the reasons behind that would be; one, it provides us with lower cost liquidity. So it does provide us with a favorable rates mix versus our existing debt. And again it helps us just with our debt maturity profile. In terms of timing, I would expect to deploy that over the next couple of months, over the earlier portion of Q2 and Q3 [ph].
Kevin Caliendo: Okay, that's helpful. In terms of customer losses, it seems like everything is - was really in the first three quarters of the year. Can you talk a little bit about customer losses or customer gains maybe since the middle of the fourth quarter into March? Has there been any real meaningful share shifts in the industry?
Ed Pesicka: Yes. And I would say, traditionally the ability to start to move business, that really starts to pick up as you get into the first quarter here. And as I stated earlier, I said well we saw really a binary change really in the fourth quarter into now a significant amount of retention. We haven't - we haven't lost any major customers. We have most of our customers when it's coming up for renewal are in advance renewal, retaining those and I will tell you our pipeline for opportunity is more robust than it has ever been. I think a lot of that has to do with the amount of focus we have on our customers. I think a lot of that has to do with the drastic improved service level, back to the industry leading standards, which we have, I think that has a significant amount to do with people understanding the value we bring, and I think also - part of this current crisis on COVID and product availability also continues to show the value of our manufacturing footprint. All of those things are lining up significantly strong for us. And we also recognize that it's a long window too, as I talked multiple times, from a time an RFI goes out to an RFP to the award, that could take almost a year process of letting the customer get to know you, especially if you're not the incumbent, talking about your skill set, providing value in the interim when they need help and then continuing to show them an offering that makes - that makes really two things, it drives - it improves clinician experience and patient experience and mitigate risks and it drives value. So we see that in process and significantly in process right now where we are.
Kevin Caliendo: And, I just have one quick one to end and people have touched on this a little bit, but have you yet seen - as we enter into March, have you yet seen any slowdown in demand for like surgical kits from - in the hospitals. I think one of the things we're all wrestling with here as analysts is trying to understand how behavior is going to be impacted by regular consumers and we're just wondering if you're seeing any slowdown in the last week or two for elective procedures or surgical procedures and patient procedures and that kind of thing.
Ed Pesicka: We have not - we have not seen that as of now. So our data is showing us that we're not seeing a substantial decrease in CPTs Custom Procedure Trays for surgeries, whether it's elective or non-elective, we have not seen that yet. So that's the only data point I have as of right now.
Kevin Caliendo: Okay, thank you so much.
Operator: Thank you. And our last question is a follow-up from Eric Coldwell with Baird. Your line is now open.
Eric Coldwell: Hey, thanks very much. Just maybe a couple of quick ones. On the pipeline that you've mentioned a couple of times here for future opportunities. I'm curious, and I know it's early, but does the current market turmoil supply chain disruptions out there, does that allow you to - I don't know if I want to say fully, but notably shift the conversation from one of price to one of service and integrity and confidence?
Ed Pesicka: Yes, we'll look, I think, let me just share - I think it's important for everyone to understand our approach on this, in the current turmoil is one, our number one value is integrity and we have, first and foremost, made sure that those customers that we have contractual obligations and they've committed to us and we've committed to them, they are getting their products that they've always gotten from us, specifically around - whether it's our own distribution channel, whether it's other distribution channels or whether it's direct from our manufacturer. Then where we have the distribution relationship and they're having - you know whether it's small or significant stock out of product that we have capacity on, we are working with them aggressively to backfill that and replace that with the products we have. And then thirdly, outside of those that are committed to us from our channels, whether it's our Byram home health care channel or our Medical Distribution Owens & Minor channel, we're going to work with those outside of it to help anywhere we possibly can. The other thing we've done is we are honoring our commitments to - whether it's a GPO and IDN contract pricing, we have not levered it. We have not bullied. We have not done any of that because ultimately our value is around integrity and making sure we service our customer base. Have we gotten significant goodwill from the ability to help I would believe so? But we have really been focused around our mission to serve our customers. And look, in our industry, whether it's us or our competitors ultimately what we do is pretty humbling is, we're here to serve health care to make sure clinicians can cure and work with patients. So, in time of need, we need to make sure we're working to have that common goal to not have any patient impacted and that's the way we've handled it. Has the dialog changed? I would say yes. You know, three or four months ago, if I would have talked about our manufacturing footprint, our supply chain, our ability, that may not have had the same weight as it has today, when I talk about our manufacturing footprint, our domestic supply chain, our ability to be flexible and quick by leveraging our QSight and our SurgiTrack and some of our technology to make sure our customer is not impacted that dialog has changed. That is now recognized as value to our customer base, both existing and potential customer base. So that's the way I would answer it Eric. That's the way we've attacked it. That's the way we thought about it leading with our values on how we operate and really focused around the patient.
Eric Coldwell: Got it. I'm going to leave it there. We've gone a long time. Thanks very much.
Ed Pesicka: I appreciate it. I guess, just - I think that's the last call, so let me just make a couple of closing comments. I'm excited. It's been a great year. I've been here about a year now. I'm pleased with the progress we've made since I joined. Watching the organization rally around our mission, rally around our values completely focused on the customer, it's really helped us get a heck of a lot further than I thought we would be at this point in time. I'm excited and proud about another strong quarter. We did what we said we were going to do and we did it, with the rigor and discipline. I'm extremely excited about the foundation. We've built a heck of a foundation in 2019 that we can grow on. We have a great leadership team in place that knows how to deliver on results, knows how of focus and we'll execute in 2020 and beyond. We are clearly focused on long-term. We are not going to be short-term focus. We are going to continue to invest in disciplined reinvestment in the business to provide long-term growth. We actually believe long-term profitable growth of double-digit EPS beyond 2020. So extremely excited of what we've accomplished, where we are and where we're going as a business. And the last thing, I really look forward to seeing many of you in our May 20th Investor Day in New York. It's going to give you the opportunity to see the entire management team or a good portion of the leadership team. In addition to that, some of the investments we've made and why we show why - why we believe and why they have added value to the business. So, thanks everyone. I look forward to talking to you in the next earnings call and seeing you at the May 20th Investor Day in New York. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.